Operator: Good day and welcome to the St. Joe Company Fourth Quarter and Full Year Earnings Release Conference Call. This call is being recorded. Currently all participants are in a listen-only mode. You'll be given a chance later to ask questions. Directions will be given at that time. At this time, I'd like to turn the conference over to the Chairman and Chief Executive officer, Mr. Peter Rummell. Please go ahead sir.
Peter S. Rummell - Chairman and Chief Executive Officer: Thank you and good morning. Welcome to the St. Joe Company conference call for 2007's fourth quarter and full year. I'm Peter Rummell, Chairman and CEO of Joe and joining me this morning are President and COO Britt Greene; CFO Bill McCalmont and Chief Strategy Officer, Chris Corr. Before we begin, let me remind you about forward-looking statements. Matters discussed on this conference call are not historic... that are not historical facts are forward-looking statements. Such statements are based on our current expectations and actual results may differ materially. Forward-looking statements are subject to certain risks and uncertainties that are described into today's earnings release and in our SEC filings which are on our website at joe.com. If you want a copy of these materials, you can request them through the joe.com website. The headlines for the morning, our results for the fourth quarter and the full year clearly reflect the continuing difficult conditions that exist in Joe's Florida markets, including Northwest Florida. As we reported this morning, we had net income for the fourth quarter of $1 million or a $0.01 a share compared with $22 million or a $0.30 a share for the fourth quarter of 2006. For 2007 in total, Joe had net income of $39 million or $0.53 a share compared to $51 million or $0.69 a share for the year before. For both the fourth quarter and the full year, Joe had several charges and write-downs that impacted our performance and those are detailed in our press release that was put out this morning. As we prepare for the traditional spring selling season, Northwest Florida's resort and residential real estate markets remain very weak. Commercial markets are somewhat stronger, and the demand for rural land remains steady. During this period of uncertainty, we will remain patient and disciplined, with an eye towards maximizing the total value of Joe's assets. We believe we've taken appropriate steps to our previously announced restructuring plan to position Joe to whether continuing difficult market conditions and ultimately for our future growth when those market conditions improve. We continue to strongly believe in Florida's long-term future and Joe's long-term ability to create value. We have a solid pipeline of entitlements, significant geographic advantages and remain confident that we are positioned to grow again when the Florida economy and marketing conditions improve. But for now, Florida real estate markets remain very weak, especially the resort and primary residential markets. Now, let me turn to some of the other news. The Panama City Airport Authority continues to make progress on its efforts to relocate and construct the new airport on the land donated by Joe in western Bay County. As you all know, who have followed us, in 2007, the Airport Authority received final environmental permits, completed its financing package, successfully contracted the sale and redevelopment of its existing airport property and awarded a construction bid. Since groundbreaking November 1st, several important court hearings have allowed construction of the airport to perceive without restriction. So the question is what does all this activity mean for the airport, the short and most important answer is, the airport is under construction and is being built. And what happens next, construction continues. The Airport Authority continues to estimate that the new airport will open in the spring of 2010, barring unexpected delays or any additional unforeseen legal challenges. In other news, we usually talk at the end of this talk about the Florida economy but it's on everybody's mind so we moved it up here. During the fourth quarter Florida's economy weakened significantly. According to some economists the risk of recession in the state has increased substantially, and there are others who think that Florida may already be in a recession. Florida's consumer confidence index fell this month to the lowest point in 16 years, and based on the latest data available, December of '07, the state's unemployment rate did creep up to 4.7% although that is still below the national rate of 5%. However, unemployment in Florida… in Joe's Northwest Florida continues to be well below the state and national averages and Walton County's unemployment meg [ph] rate remains one of the lowest in the state and in the nation, which is 2.9%. And despite all the stories you've heard, the states population still increased by 190,000 people last year with in-migration slowing but still adding to the growth. And to put things in a longer-term context, which we think is important, the states population is still expected to increase by 10% or about 2 million people in each of the next two decades. I think it's important without being naive to remember that Florida has worked through these downturns before. Florida's natural advantages of climate, geography and diversity it will help make it one of the fastest growing states in the country for the past seven decades. We believe we can attract the increasingly significant percentage of that forward-looking in-migration to Northwest Florida over time. So while current conditions are difficult, we believe Florida will find a bottom and move as it has throughout its history. In other news, late yesterday we announced our succession plan, it calls for Britt to take over as CEO at the annual meeting in May and for me to continue as Chairman of the Board. I'm tremendously proud of what we have accomplished over the last 11 years. Since 1997 we've transformed this company and now with construction underway for a new international airport and with new roads, hospitals, schools, shopping experiences and other infrastructure coming into reality, we really do think that Joe's Northwest Florida, has arrived at a significant tipping point. With this foundation in place along with the skills and experience of Britt and a great Joe team, I really do believe that the best is yet to come. And I think it's a credit to Joe's succession planning that Britt comes from within the organization. He has been part of Joe for 10 years. We've built a company that will provide stability and continuity and it’s working. Britt, to you.
Wm. Britton Greene - President and Chief Operating Officer: Thank you, Peter. First I'd like to say that Peter's leadership has certainly provided an extraordinary foundation from which Joe can continue to build and personally, I look forward to Peter's continued engagement as we explore new corporate strategies to leverage, not only our core competencies but to create future value for the benefit of our shareholders. In addition, Peter's extensive relationships and contacts will continue to be a building block for us to use. So with that Peter I appreciate the comments. Restructuring let me review the implementation of our October plan. It is important to remember we start with extraordinary assets. As a result of our efforts over the past 11 years we've assembled a large well located portfolio of entitled lands. Our catalogue of entitled assets range anywhere from a 1 acre commercial corner to a mile of resort entitled beachfront, for Marina sites for hundreds of flips to thousands of commercial acres adjacent to a new international airport under construction. Our restructuring plan announced in October calls for Joe to focus on harvesting in our non-core assets, strengthening our balance sheet and streamlining our operating structure along with leveraging our strength with strategic relationships and working to induce and stimulate demand across the North West Florida region. As part of the plan, Joe announced it was going to market for sale of approximately 100,000 acres of non-strategic rural lands. By the end of the year, Joe had closed on sales of more than 18,000 acres for a total of approximately $28 million. Joe currently had contracts on multiple parcels totaling approximately 28,000 acres for an aggregate price of approximately 52 million. And it's continuing to... we have conversations with several parties on an additional 90,000 acres. We continue to develop new real estate sales channels including online rural land sales and auctions. The rural land sale auction process is involved differently than auctions that are sometimes used for residential property. We are working with a national company to market our rural land parcels on the Internet in an effort to maximize value while efficiently managing the cost of the sale. The current tests involves three rural land parcels of varying sizes and estimated values and in total we are currently seeking a sale of total slightly over 3000 acres by a rural land sale auction process. We intend to use the proceeds of our rural land sales primarily to pay down debt and for working capital purposes. In the residential, we've announced that we plan to focus on marketing sales of our inventory of existing homes and developed home sites. Despite the poor market conditions, we have seen some demand for high-quality product price to the market. In the fourth quarter, Joe sold 134 home sites and 31 homes. We currently have enough developed home sites to meet near-term market demand and contractual builder requirements. Concurrently, Joe is building a business-to-business competency to market entitled land to strategic alliances and development partners. We believe this approach will better leverage our core competencies along with the talented expertise of others and result in accelerated value creation for our shareholders. This October, we have had substantial conversations with residential, commercial and industrial developers along with home builders, environmental groups, infrastructure organizations and relocation prospects to discuss opportunities and potential joint projects that will bring new players in economic development to Northwest Florida and in the long-term drive demand for real estate. We are also continuing to actively seek new strategic partners to complement these core competencies. We have successfully collaborated in a number of initiatives over the past few years with the objective of inducing and accelerating demand in northwest Florida. We have been involved in the creation of new schools, resorts, shopping malls, roads and a new airport. All together, the public, non-Joe capital investment in these initiatives exceeds $1 billion and in each case Joe owns all or most of the adjacent land. Going forward, our demand creation strategy will be focused on specific economic development sectors where we have competitive strengths and there are strong forecast growth. We are also participating in regional efforts to promote new air service and tourism that takes advantage of the capabilities the new airport will bring to Northwest Florida. So now I'm going to turn it over to Bill and he will just discuss Joe's capital expenditures and balance sheet. Bill?
William McCalmont - Chief Financial Officer: Thank you Britt. We continue to make good progress implementing the financial aspects of our restructuring plan. We are continuing to execute on our disciplined strategy of significantly reducing capital expenditures, meaningfully decreasing SG&A expenses, divesting non-core assets, and focusing on aggressively lowering company debt. As part of this commitment, we are working to identify the most favorable and flexible financing alternatives. With respect to CapEx, we continue to evaluate our deployment of capital. Capital expenditures have been significantly reduced in our focus on Joe's growth assets, many of which we intend to develop with strategic partners. We currently expect capital expenditures in 2008 to be less than $90 million and even lower in 2009 and that compares to approximately $250 million in 2007 and over $600 million in 2006. Turning to the balance sheet at December 31st, Joe's debt was approximately $541 million including $31 million of debt defeased in connection with the sale of our office building portfolio as compared to approximately $627 million on December 31st of 2006. At the end of the fourth quarter, we had approximately $348 million of available capacity under our $500 million revolving credit facility and approximately $55 million of cash and pledged securities on our balance sheet. As you know, Joe is committed to strengthening its balance sheet. To that end we are working to ensure that we had the maximum financial flexibility and we are weighing a number of alternatives including the negotiation of amendments to our bank credit facility and our senior notes as well as capital market transactions. As we communicated in the last call, the process is underway and it will take time to complete, but the key is doing what is best for Joe's balance sheet in the long term. This approach requires us to consider a number of alternatives and then make a decision on which one to pursue. The good news is that we had the process well underway and are pursuing several initiatives simultaneously, well in advance of any need. Back to you Peter.
Peter S. Rummell - Chairman and Chief Executive Officer: As Britt and Bill have both described, we are taking the important steps to streamline our organizational structure to focus more efficiently on planning, entitling, business-to-business relationships, infrastructure and economic development initiatives, all aimed at inducing and accelerating demand. For now and we think the foreseeable future, [inaudible] real estate markets are facing challenging times. Resort and residential markets are as tough as I've seen in my 37-year career. And there is no clear indication of when those market conditions are going to make any dramatic change. But longer-term, which is an important focus, we continue to like our position. Joe's strategic position is one that cannot be duplicated. [inaudible] land, a lot of it in Florida, all in one region ahead of the baby boom combined with a proven core competency expertise and know-how to transform that land into value. And while we have been on this conference call, let me remind you that construction continues on the first new international airport in the nation since DIA was built in Denver. With that I'll be happy to respond to your questions. Question and Answer
Operator: Operator: [Operator Instructions] We will go first to Chris Haley of Wachovia.
Chris Haley - Wachovia Securities: Good morning. Good growth rate, congratulations.
Peter S. Rummell - Chairman and Chief Executive Officer: Thank you, Chris.
Chris Haley - Wachovia Securities: Peter, good luck. Bill, I want to see if you could help me out, the way we look at your third quarter and then fourth quarter expense run rates, excluding the margin or… pardon me, the marginal expenses related to home sales and site sales. If we exclude that, and we look at your operating structure at around $35 million annualized of the fourth-quarter run rate, could you give us a sense as to where you see that in terms of kind of your cost to run the business without residential sales?
William McCalmont - Chief Financial Officer: Well Chris, I may not answer your question exactly, but when we had our last call we talked about SG&A expenses declining 20% year-over-year as a result of our October 8th restructuring announcement. Of course those expense reductions are not reflected in the current quarter.
Chris Haley - Wachovia Securities: Okay.
William McCalmont - Chief Financial Officer: But going forward, as we look into 2008, we are well on track to meet those targets and frankly, I'd be disappointed if we didn't exceed that target rate.
Chris Haley - Wachovia Securities: And that was just SG&A, though.
William McCalmont - Chief Financial Officer: Yes.
Chris Haley - Wachovia Securities: Okay. All right, related question, though we can work offline in terms of the overall expense run rates, but I'll be interested in your discussions, Britt, with various land investment entities, whether they be infrastructure, as you call them relocation enterprises. Has there been a higher pace of interest from certain types, say, we just this morning announced... iStar announced a $1.7 billion sale to the [inaudible]. I'll be interested in your perspective there, not much about that transaction but what's happening at the timber [ph] or investment organizations?
Wm. Britton Greene - President and Chief Operating Officer: I wouldn't say of all the entities that we've talked to Chris that in the rural land sales is they are still active, it is strong, the interests are strong, and we haven't seen any deterioration in the pricing on the acreage side. So, I think it has been, we've been... it's been well received and Bill, you want to?
William McCalmont - Chief Financial Officer: Yeah, and Chris, the matter of fact that the price per acre that we reported in the fourth quarter was the highest price per acre in any quarter of 2007, which I think is indicative of the number of buyers and the diversity of the buyers.
Peter S. Rummell - Chairman and Chief Executive Officer: The only thing I would say, Chris, is you don't get too focused on [inaudible], the world of buyers is a very eclectic group. There are a lot of people with lots of different motivations and different financial backing. It's dangerous to stratify it.
Wm. Britton Greene - President and Chief Operating Officer: Needless to say we're pleased with the response when we released products in terms of world land sales.
Chris Haley - Wachovia Securities: Last question Britt, you mentioned demand creation strategies and you would be targeting specific industry groups. Could you expand upon those industry groups or give us some color as to what they might be?
Wm. Britton Greene - President and Chief Operating Officer: Well, we are focusing in the area, specifically on some core clusters of industries that surround not only the military in terms of aerospace and engineering, but along with that other cluster companies and industries that are prevalent already in the area of Northwest Florida, and want to build on that rather than trying to go out and entertain new industries to move them into the region. So, really the focus over the next few years is going be taking what's there and trying to build on that if not only as it grows, but [inaudible] branching off of that. So, along with... obviously we have a tremendous amount of commercial entitlement in the region and not only just from a retail and office standpoint but from an industrial opportunity.
Chris Haley - Wachovia Securities: Thank you.
Operator: And we will take our next question from Sheila McGrath at KBW Investment Bank.
Sheila McGrath - Keefe, Bruyette & Woods: Thank you. My question is regarding the airport, if it's on track for opening in 2010, when do you think airlines... new airlines would connect to servicing the new airport and when do you think you would start looking to announce strategic relationship with other developers?
Peter S. Rummell - Chairman and Chief Executive Officer: Well, it's on track for a spring 2010 opening. We have... there have been lots of conversations Sheila, as you can imagine, over the last few years and one of the thing we've learned is that without an airport under construction it's pretty hard to have a definitive conversation. So, we are now in a phase we haven't been in before. I think our experience is these guys play their cards pretty close to divest. And there is a surprisingly... for a commercial airliner, there is a surprisingly short lead-time between when they announce things and when they actually do it, just for a competitive reason. So, it's not a multi-year effort as you might think for industrial users who need to build things and so and so forth as opposed to having a terminal built for them and it’s a longer-range and those conversations are really just starting. We really are just now at the point where with DIRT moving we can have definitive conversation. So, I think let the games begin, I'm hesitant to say that you're going to... we are going to have anything in 60 days or 90 days, but the intensity is dramatically more than it was six months ago.
Sheila McGrath - Keefe, Bruyette & Woods: Okay. And with the new Governor in Florida, is there any indication that this administration would be more willing to help incentivize corporate relocations to Northwest Florida?
Peter S. Rummell - Chairman and Chief Executive Officer: Well, that's a good question. Jeb was kind of famous for not and I think Governor Crist is probably a little more open to that than... well, anybody would have been more open to it than Jeb was, but... and I think that combined frankly with the fact that he doesn't have the wins at his back that we’ve had for the last several years. So, I think you may see more of that. I don't think Florida is ever going to be in a position of some other states just because there is so much organic growth. But, difficult times probably are the mother of invention.
Sheila McGrath - Keefe, Bruyette & Woods: Okay. Thanks a lot Peter.
Operator: And we will take our next question from Buck Horne of Raymond James.
Buck Horne - Raymond James: Hi, good morning guys. I was wondering about the 90,000 acres you guys currently have marketed, is there anything about that land that would lead to a transaction price materially different to what we've seen over the past 18 months?
Peter S. Rummell - Chairman and Chief Executive Officer: No.
Buck Horne - Raymond James: No?
Peter S. Rummell - Chairman and Chief Executive Officer: No, you can... it is more the same.
Wm. Britton Greene - President and Chief Operating Officer: It's made up of multiple particles in variety of locations.
Peter S. Rummell - Chairman and Chief Executive Officer: One of the misunderstandings is it's not contiguous, it's all over the place.
Buck Horne - Raymond James: Okay. Great. And kind of strategically, of the total rural portfolio you have ultimately, what do you envision trying to monetize over the next year or two?
Peter S. Rummell - Chairman and Chief Executive Officer: Well, we've talked about the 100,000 and that's where our focus is and I think beyond that would be speculation at this point. Do you want to add to that, Bill?
William McCalmont - Chief Financial Officer: No. In the press release, we identified more than 100,000 acres obviously not all that will close, but we're taking... we're focused on that 100,000 acres and then we'll reevaluate the [inaudible].
Buck Horne - Raymond James: Okay, great. Just one last one, how many homes did you guys have either finished or in construction, left for sale at the end of the period?
Wm. Britton Greene - President and Chief Operating Officer: We had a 190 homes left, some of that, about 31 of those are condos that currently in its final completion stage at WindMark Beach. So out of the 190.
Buck Horne - Raymond James: Okay, great. Thanks guys.
Operator: [Operator Instructions]. We will go next to the David Cohen at Morgan Stanley.
David Cohen - Morgan Stanley: Congratulations, Britt and Peter. Can you just talk a little bit about what was the process that drove the Board to kind of make this decision or what you were thinking Peter in terms of going forward?
Peter S. Rummell - Chairman and Chief Executive Officer: Well, we have been talking about it for sometime. I have been here over 11 years and I think there is a... I think we all agree that there is a time to come and a time to go. And Britt has been here for 10 and this is something that... this is something, this is a process we are really pleased with. There is just a natural time, there is rhythm in the company in terms of when things are happening tat right now, and I think the Board agreed with that. So it's… our goal was to make it a non-event in terms of trauma and in fact I think we are succeeding in that and it’s ready to go. So there's no hidden agenda here, there is no... nothing beyond that. Anybody want to… you want to add to that?
Wm. Britton Greene - President and Chief Operating Officer: No.
Peter S. Rummell - Chairman and Chief Executive Officer: What you see is what you get.
Wm. Britton Greene - President and Chief Operating Officer: It was a good process.
David Cohen - Morgan Stanley: And Britt, you have obviously been involved in all of these, the restructuring. Is there anything else that you think you'd put on the slate in terms of strategic goals for the firm?
Wm. Britton Greene - President and Chief Operating Officer: Not at this point. I think we have our plate full in terms of dealing with the market and trying to move value for the shareholders and take care of monitoring our capital needs and our debt reduction. So I think that's a pretty good slake for '08.
David Cohen - Morgan Stanley: Okay. I noticed on the 8-K, that you have some new I guess columns changing commitments where I am seeing some, I guess lots taking out of some buckets, maybe being put into some other buckets. Can you just talk about… little bit about... is this... for example David Weekley Homes at Hawks Landing has… there was a change in commitments of 39, are they... is that like... are they walking away from those commitments or is that just kind of a reallocation. How do I think about that?
Wm. Britton Greene - President and Chief Operating Officer: The way to think about that is, David, Weekly closed on 50 homes or 50 lots in '07, and given the pace of absorption, didn't feel ready to take the next 39. So we decided that it was most prudent for us not to beat up a good partner and there is still positive about Hawks Landing, sales have been good and it give us an opportunity to get 39 lots back, that we could remarket to the local builders and other regional builders at literally a higher price, because Hawks Landing has increased in value. So there is an opportunity for us to get some more lots back and remarket at higher price and it gave David Weekly some breathing room, being that he had taken down 50 already. With regard to Beazer at Breakfast Point and their changing commitment, there… that was because we decided that Breakfast Point, it was a great project, it's a large developmental regional impact and it was... it's primed for a business-to-business discussion with any one of a number of entities that we are currently talking and rather than hold them and their deposit on a contract not knowing with the ultimate development timeline is for Breakfast Point, we decided we would… we actually were the ones who terminated their contract in advance of having the B2B discussions and then in advance of RiverTown they were an early adopter on River Town and frankly the Jacksonville market has slowed a little bit and while we are on pace at RiverTown with four builders, again the market changed for Beazer and that was 39 lots and essentially have covered that with four other builders and let them out of their contract negotiation. And in the fourth quarter they turned around and closed on a 118 lots in Phase I of Laguna West. So while there is an ins and outs there, I think it's mostly conscious about what the market conditions are, being a good partner with these builders, and not trying to push product across the table when it's not appropriate. We get some in some cases and we give some up in some cases but it balances out to be a positive [inaudible].
David Cohen - Morgan Stanley: Okay. Just a final question. You talked a little bit about just the increasing financial flexibility through a variety of alternatives. Can you just talk generally about what it is that you might be considering?
Wm. Britton Greene - President and Chief Operating Officer: Yes. I think we've mentioned that we are considering a number of initiatives simultaneously. The good news is there is no near term timetable, the process is underway. I'd also point out that in the press release we made mention of the land that we have under contract as well as land that’s in negotiation but not yet under contract, which will obviously provide substantial revenues and earnings to the extent they [inaudible]. So we tried to give you some feeling for what's in the pipeline relative to those large track land sales, the 100,000 acres we previously discussed. But with respect to other alternatives, we continue to consider those opportunities and options and I think we would be remiss not to.
David Cohen - Morgan Stanley: Great, thank you.
Operator: And your next question is a follow-up from Chris Haley of Wachovia.
Chris Haley - Wachovia Securities: Two, may be going out little bit more in terms of the interest calculations. As we progress over the year, obviously we see a fair amount of capitalized interest during quarterly periods. Is it fair to say that the… we simply used the 6% in the average cost of debt against the 500 plus million of debt to really look at the denominator in the interest coverage calculation, Bill?
William McCalmont - Chief Financial Officer: Well, the 6% interest cost in the fixed rate debt is accurate, the bank facility as well as the term loan is based on a LIBOR spread and with current rates that is probably closer to 4%, Chris.
Chris Haley - Wachovia Securities: Okay, all right. Okay, good. That's it, thank you.
William McCalmont - Chief Financial Officer: Thank you.
Operator: And with that, that will conclude today's question-and-answer session. I would like to turn the conference back over to Mr. Rummell for any additional or closing remarks.
Peter S. Rummell - Chairman and Chief Executive Officer: Great, thank you. Thank you all very much. Thanks for continued interest and support and we will look forward to either seeing you or talking to you in May. Take care.
Operator: This does conclude today's presentation. We thank everyone for their participation. You may disconnect your lines at any time. Have a wonderful day.